Operator: Ladies and gentlemen, thank you for standing by, and good evening. Thank you for joining Sohu's Third Quarter 2022 Earnings Conference Call. [Operator Instructions] Today's conference call is being recorded. If you have any objections, you may disconnect at this time. I would now like to turn the conference over to your host for today's conference call, Huang Pu. Investor Relations Director of Sohu. Please go ahead.
Huang Pu: Thanks, operator. Thank you for joining us to discuss Sohu's third quarter 2022 results. On the call are Chairman and Chief Executive Officer, Dr. Charles Zhang; CFO, Joanna Lv; and Vice President of Finance, James Deng. Also with us are Changyou's CEO, Dewen Chen; and the CFO, Yaobin Wang. Before management begins their prepared remarks, I would like to remind you of the company's safe harbor statement in connection with today's conference call. Except for the historical information contained herein, the measures discussed on this call may contain forward-looking statements. These statements are based on current plans, estimates and projections. And therefore, you should not place undue reliance on them. Forward-looking statements involve inherent risks and uncertainties. We caution you that a number of important factors could cause actual results to differ materially from those containing and involve these statements. For more information about the potential risks and uncertainties, please refer to the company's filings with the Securities and Exchange Commission, including the most recent annual report on Form 20-F. With that, I will now hand the call over to Dr. Charles Zhang. Charles, please proceed.
Charles Zhang: Thank you, Huang. And thank you, everyone, for joining our call. In the third quarter of 2022, we've faced severe headwinds from COVID-19 pandemic and uncertainties in the macroeconomic environment. Despite these, we maintained our focus on refining our products, improving operating efficiency and enhancing monetization capabilities. Thanks to strict budget control and solid performance of our online game business. Our bottom-line performance for the quarter was well above expectations. For Sohu Media Portal, we enhanced user experience through continuous improvements in products and technology. For Sohu Video, we continued to execute our Twin Engine strategy, developing science and knowledge-based live broadcasting with our advanced live broadcasting technology and compelling content and events. Leveraging the differentiated advantages of the Sohu product matrix, we continue to explore ways to improve monetization for both Sohu Media Portal and Sohu Video. Online Games performed well during the quarter with revenues exceeding our prior guidance. I'll go into details about each of these businesses in a moment, but first, a quick overview of our financial performance. For the third quarter of 2022, total revenue $185 million, down 14% year-over-year and 5% quarter-over-quarter. Brand advertising revenue were $26 million, down 24% year-over-year and up 3% quarter-over-quarter. Online game revenues were $149 million, down 11% year-over-year and 5% quarter-over-quarter. GAAP net loss attributable to Sohu.com Limited of $22 million compared with a net income of $12 million in the third quarter of 2021 and net income of $9 million in the second quarter of 2022. Non-GAAP net loss attributable to Sohu.com Limited was $17 million compared with a net income of $17 million in the third quarter of 2021 and net income of $12 million in the second quarter of 2022. Now I'll go through some of our key businesses. First, Media Portal and Sohu Video. For Sohu Video Portal, we consistently focused on product refinement and optimizing of our algorithms. We are continuously enhancing user experience and have kept users tightly engaged by facilitating large amounts of reliable real-time news and premium content. We're also working actively to integrate new features in our products. We enrich users' working experience. Working within this strategy, we were able to further consolidate and strengthen our position as a mainstream media platform. For Sohu Video, we continued to execute our Twin Engine strategy, leveraging our advanced live broadcasting technology and premium content. We actively promoted the generation and the social distribution of our high-quality content. We strengthened our reputation as a credible, leading science and knowledge-based live broadcasting platform. During the quarter, with the launch of a series of unique and influential science-related and nature-related broadcasting, for example, myself, Charles' Physics class, et cetera, we have not only drawn wide attention from millions of audiences, but also attracted plenty of leading professional broadcasters in a variety of scientific fields into our platform. In long-form content, besides producing original dramas and reality shows those acquired cost-effective TD program to complement our content library. Despite the ongoing negative impact of COVID-19 and the uncertainties imposed on the market, we continue to explore new monetization opportunities to capture advertising budgets. We extended applications in areas of advanced live broadcasting technology and integrated into various high-quality content marketing activities. During the quarter, we successfully hosted top end of the [inaudible] campaign at 47 degrees north and the 14th Sohu News Marathon. These unique content marketing activities continued to make breakthroughs and spreading widely across social media platforms and demonstrating the value of the media. Through these such events, we were able to meet the demand of wide range of advertisers and attracting their advertising budget dollars. Next, turning to online game business. During the third quarter of 2022, online game revenues performed well. In our business line for PC game, we rolled out a new group PvE, player versus environment dungeon for regular TLBB PC, which was well received by players. With TLBB Vintage, we introduced new weekly goals to keep the game fresh for players. With mobile games, we introduced some summer theme events for legacy TLBB mobile and adjusted the relative skill strength of some plans. Next quarter, to keep players engaged, we will roll out new content for TLBB PC, Legacy TLBB mobile and other games. Against the backdrop of an ever-changing environment, we will stick to our top game strategy by promoting the development of professional talent as well as innovation in content and technology, rolling out more high-quality mobile games. In terms of the game pipeline, while maintaining our core competitiveness in FFO, RPGs will also invest in games of multiple types, including car RPGs and sports and idle games. Now I'll turn the call to Joanna, our CFO, who will walk you through our financial results. Joanna?
Joanna Lv: Thank you, Charles. I will now walk you through the key financials of our major segments for third quarter of 2022. All the numbers on a non-GAAP basis, you may find a reconciliation of non-GAAP to GAAP measures on our IR website. For Sohu Media Portal, quarterly revenues were $50 million, down 11% year-over-year and 6% quarter-over-quarter. The quarterly operating loss was $38 million, compared with an operating loss of $37 million in the same quarter last year. For Sohu Video, quarterly revenues were $60 million, down 29% year-over-year and up 4% quarter-over-quarter. The quarterly operating loss was $31 million, compared with an operating loss of $10 million in the same quarter last year. For Changyou's online game business and 17,173, quarterly revenues $150 million, down 11% year-over-year and 6% quarter-over-quarter. The quarterly operating profit was $58 million, compared with an operating profit of $79 million in the same quarter last year. For the fourth quarter of 2022, we expect brand advertising revenues to be between $25 million and $28 million. This implies annual decrease of 17% to 26% and a sequential decrease of 3% to a sequential increase of 9%. Online game revenues to be between $118 million and $128 million, this implies annual decrease of 11% to 18% and a sequential decrease of 14% to 21%. Non-GAAP net loss attributable to Sohu.com Limited to be between $10 million and $20 million and GAAP net loss attributable to Sohu.com Limited to be between $30 million and $23 million. This forecast reflects our current and preliminary view, which is subject to substantial uncertainty. This concludes our prepared remarks. Operator, we would now like to open the call to questions.
Operator: [Operator Instructions] First question is from the line of Thomas Chong of Jefferies.
Thomas Chong: Hi, good evening, management. Thanks for taking my questions. Given that we have seen the macro headwinds and also the outbreak of pandemic, I just wanted to get some color from Charles, you can share about how we should think about the advertising trends across the different categories, like auto, FMCG, properties, et cetera, and also how we should think about the advertising outlook in 2023? And my second question is about the gaming business. Given that we haven't seen [inaudible] release in October and so far in November, how should we think about the gaming approval trend in China and on Changyou, how should we think about our new games in the pipeline for next year?
Charles Zhang: Okay. So the general advertising market is kind of logging. The trend is at least for Q3 and onwards is kind of downward. But among them, I think auto is doing fine. Auto is doing relatively better. Real estate is really bad. The Internet services, I think Q3 is not as good as Q2, because in Q3 -- Q1 -- Q2, we have the [inaudible] 618 right, so Q3 is a low season, and FMCG seems doing better in Q3. That's relatively ranking of sectors. Your next question is about game, right?
Yaobin Wang: We have a couple of projects that are waiting for the license approval, but we have no further news about that. So we are just waiting. Currently, in our game pipeline, we have more than 10 games and half of them are fit for global market and the rest of them are for the domestic market.
Charles Zhang: I mean this advertising downward trend, we were -- we actually a little bit better by -- as I just said the -- our unique marketing activity -- marketing activities, unique event, event to the marketing activities that we were able to draw some advertisers.
Operator: Our next question comes from the line of Eddie Leung of Bank of America.
Eddie Leung: Hey, thanks. Can I have a follow-up on the near-term advertising trend. Could you describe what you have seen in September, October and early November? The reason we ask is we all know there have been more lockdowns in the recent 12 months. So just wondering how you have -- how you see the trend evolving in the past couple of months? So that's my first question. And then secondly, on use of cash, we continue to see a very strong cash balance. So wondering if we should expect any more share buyback program or even a dividend?
Charles Zhang: Yes. I think the lockdown did have a negative impact over our advertising income because companies expect -- we rely mostly on brand advertising. So companies, especially large corporations, their previously scheduled events -- marketing events and those kinds of things are not able to be held. So that's why that impacted their spending on our platform. But we are doing not so bad actually because we have some kind of online events like I just mentioned, there are Physics class or other science and nature-based, knowledge-based live streaming, broadcasting events that does not need people to meet in person. So that's -- we just get back a little bit some of the -- their advertising dollars.
Eddie Leung: And use of cash?
Charles Zhang: Use of cash, yes, because of the economic uncertainties -- macroeconomic uncertainties, we hold back after -- we have completed our -- as we reported, we completed $100 million buyback already, right? So a further buyback, we hold back because we just wait to see the -- in view of the economic uncertainties with it. And also, we have a lot of things to do. We have a lot of things in improving our products, developing our user base and -- so we -- for long term in the future, we do have place to spend our money.
Operator: Next, we have the question from Alicia Yap from Citi.
Alicis Yap : Hi, thanks. Good evening, Charles and management. Thanks for taking my question. I do have a couple of questions. First is on the fourth quarter online gaming revenue guidance. It seems quite a big sequential decline. Can management elaborate a little bit the reasons of the soft gaming guidance. I thought if I heard it correctly, Charles actually mentioned there will be some expansion path update for the TLBB PC and all that. So just wondering kind of the discrepancy on the games content update versus the guidance. Secondly, also related to the gaming. Just in general, if management can share your view, has gaming industry monetization been affected by the latest macro weakness. So have you seen or do you think the COVID lockdown or the soft macro have negatively impacted the gaming revenues and the gamers' time spend on gaming?
Charles Zhang: Yes. To answer your last question, yes, it's conflicting factors. One is that people will have more time spending stay home and more time to play game. But the macroeconomic situation, people have less money, so people are not willing to spend as much as before. So that's why it's a -- monetization it's -- the overall effect is actually negative now.
Yaobin Wang: That was primarily due to the natural decline of our -- some of our other games for TLBB franchise as well as the sales decline and partly due to the negative impact of exchange rate.
Alicis Yap : I see. Thank you. Can I have one follow-up on the brand advertising. So if management can comment regarding the guidance that you provide for 4Q as well as your thoughts into 2023. Are you more confident or less confident about the recovery pace of the ad sentiment into next year?
Charles Zhang: Well, we are confident because our platform, our user base is growing and also our light broadcasting and also our unique marketing events activities. It's very unique. Other companies do not have these kinds of things. So we are confident, but it really depends on the overall economic situation if -- and also the future -- the COVID-19 policy, right? So it all depends. So if the economy is doing well, we are very confident that we'll do well. We'll do better than overall -- the average. But it really depends on the COVID policy and the lockdown...
Alicis Yap : And then just -- I see. Just lastly, on the share buyback. I think you mentioned given because of the macro weakness, so you wanted to be a little bit cautious on spending the money, right? But let's say, if macro recover and your gaming business doing well, advertising also recover if your share price still around this level, then you would consider more aggressive buyback? Is that what you mean?
Charles Zhang: Well, we'll not exclude that possibility.
Alicis Yap : Okay. All right. Thank you, Charles. Thank you, management. Thank you for the question. That concludes today's conference call. Thank you for your participation. You may now disconnect.